Operator: Good day ladies and gentlemen. Welcome to the Comstock Mining Announces Third Quarter 2013 Results and Business Update Conference Call. At this time all participants are in a listen-only mode. Following the presentation we will conduct a question-and-answer session. (Operator Instructions). As a reminder this conference is being recorded today August 8, 2013. It is now my pleasure to introduce your host Mr. Corrado De Gasperis. Please go ahead.
Corrado De Gasperis: Thank you, Yana and good morning everyone. This is Corrado with Comstock Mining and welcome to our third quarter conference call and business update. I’ll provide a summary and some color of the information included in our press release from this morning and our current financial statements on Form 10-Q that we will filed early last night. If you don’t have a copy of today’s release, you will find a copy on our website at www.comstockmining.com under News/Press Releases. Please also let me remind you that I may make some forward-looking statements on this call. Any statement relating to matters that are not historical facts may constitute forward-looking statements. These statements are based on current expectations and those statements are subject to the same risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in the reports filed by the company with the SEC. And those risks are also identified in this morning’s release. And all forward-looking statements made during this call are subject to those same risks and other risks that we couldn’t identify. So, with that let me turn to my prepared remarks. I’ll focus on production and mine development, since for most of the first nine months of this year we’ve been almost fully dedicated to the initial ramp-up of production, productivity enhancements especially in our Merrill-Crowe facility around our metal extraction activities. And really stabilizing our system at the previously limited 1 million ton per annum, which we can now I guess effectively declare victory on in terms of best days of our development We have also been driving operational expansion and related permitting primarily around our heap leach. And I will also touch briefly on geology, future expansions and business plans and the related permitting activities. I’d like to close with some comments on the market, evaluations and goals. And then we can turn it all over to Q&A. So just briefly, let me review some of the overall highlights from the quarter. Our ramp up in productivity gains, have yielded record production for the quarter including a 39% increase in silver shipments just from last quarter to the previous quarter. The issuance of the expanded water control permit establishes a critical foundation for our future by increasing our permitted capacity from 1 million tons per annum to now 4 million tons per annum. We should really think about this in two critically important ways. First, we can complete heap leach expansion now efficiently and handle the higher capacities. And secondly establishing a basis, a foundation for the future growth of our production, both from the Lucerne mines and potential future Dayton mine. All of which would come from this shared permitted capacity. We’ve already developed a mine plan, staff the system and enable an increase in the Lucerne traction to double of our current level with the same cost structure. That’s what we will now be working on ramping up to. That higher production rate will be leveraging the existing systems significantly, the lower unit cost, generated positive cash flow and position ourselves for even further future growth. But the capacity from this new water control permission can now also account the further expansion in Lucerne, mainly to the east and even Dayton. Ultimately our objectives are to produce at least 75,000 ounces per annum from each mine. We’re building an extraordinary business to resource development, permitting activities and ultimately more production growth, all while running in a most responsible Nevada mining platform. More specifically in the third quarter, gold shipments were 5,214 ounces, a 6% increase from the prior quarter. Our grades improved to an average of 0.025 ounces of gold per ton from Lucerne and that evolution that we’ve talked about, starting at the relatively lower end of our range from a gold grade standpoint in the Hartford and Billy The Kid claims and ultimately evolving that through the mines to Lucerne is now being realized. Shipments of silver were even more remarkable, 59,731 ounces in the quarter, which is almost a 40% increase from the quarter before that. Gold and silver shipments both represent record high for our (inaudible) company here. But we producing silver at the rate of over 11 ounces for every ounce of gold which is truly excellent. We’ve exceeded and sustained initial targeted rates of 400 gold equivalent ounces per week for the last six months now, while all that while working on the system and preparing it for more growth. I would say that from my perspective we did it for the last six months, it felt bumpy even though it came through. But we’re really feeling now the stability of the system and even more than that getting our legs under us. During that same quarter we added 16% more ounces of gold to inventory, as compared to the quarter prior to that which bodes well as we move forward and also reduced our cost by 12% in terms of inventory cost per ounce at the end of the quarter. That means that we’ve gone from this progression of $1,700 per ounce in the first quarter running at half of what we were able to – up to $1,400 in the second quarter, down to just over $1,200 that’s all right on the plan of what we foresaw. And that all positions us when we progress that with the new increases in production to deliver to our guidance of between $725 and $795 cost per ounce in 2014. Our R&D highlights include all that meaningful progress on expansion permitting. We’ve announced it but it’s worth repeating that we received unanimous approval for a special use permit modification in Storey County. We received the water control permit and then, engineering design change permits from the State of Nevada. And in addition, just earlier this month, we received Lyon County’s approval for pre-zoning activities associated with the planning and development of the Dayton resource area. So, all of these projects are progressing forward with tremendous amount of effort. These efforts are representing our company and our stakeholders. And these communities really are far from negligible and we’re properly and successfully building an exceptionally positive foundation in this regard. Lyon County is rapidly becoming our partner for sustainable economic and community growth much like Storey County already is today. Shifting to our financial notion, our balance sheet remains a strategic point of strength for us. We have no debt for borrowed money and with total debt excluding capital leases at just over $6 million at quarter end as compared to almost $14 million at our prior year-end. That decrease of over $7 million was primarily due to the full payoff of the $5 million previously drawn on our revolving facility and over $2 million in reductions on our Caterpillar finance loans. We did purchase the fleet, our fleet of new Caterpillar hauler trucks this quarter, and it was financed attractively and directly with Caterpillar. Net cash used in investment activities, for the year so far we’re $2.7 million. It’s really two buckets. We spent about $1.4 million in that full de-bottlenecking of the Merrill-Crowe. It’s really – it resulted in a tremendous increase in productivity for us. And the remainder of that money really has gone towards the preparation and expansion and work towards expansion as the Heap Leach expand. Switching to the gold industry, bullion prices have really seemed to stabilize during in the third quarter of 2013. Throughout the first nine months, the company realized an average price of 13.87 per ounce of gold and 22.55 per ounce of silver. At September, we had priced an additional 2,400 ounces of gold forward at an average price of over 13.50. We also had sold an additional 2,000 ounces through calls that are in the money, that strike at an average price of 13.60 when you include those tall premiums you know between now and year end. Although we remain bullish on gold prices, we will continue to protect our revenue line forward a bit. For us, what that means today is really anywhere from two to three months or four months forward. So, we have good predictability. On the revenue line, we have good protection on some of that gold volatility. And so far it’s worked out I think very, very well for us. In the longer term on goal, I don’t know what to say. I mean, what happened in Washington DC last month for me is a national embarrassment. But it was predictable, and $17 trillion plus of debt conservatively $80 trillion to $120 trillion of future obligations and absolutely no leadership from our government. Not only did they predictably kick the can but they waved the debt limit in the meantime. So, that’s right how I understand it, is they agreed just to wave it. So it will be interesting to see where our debt ends up once they resume. So the treasury will handle that, it’s in their best benefit. And it’s hard to say, I mean, rather than just being dysfunctional they’re now dysfunctional in a way that isn’t only killing our currency, but disrupting our economy. The valuation of the dollar in some form, the current bond purchasing in QE or some other firms, as far as we’re concerned and have always been concerned but certain. We feel we need to protect ourselves with gold and silver. We just need to. That’s why we’re building the type of company that we’re building. It’s not only the vast precious metals that are in the ground, it’s also the real-estate. This is a real-estate based company that happens to have vast economically exciting precious metals in the ground that will grow and protect value for decades to come. That’s what we’re building. So let me look towards and reiterate our outlook. I just want to make six or seven points. The expansion will be completed this month. The heap expansion is on time and it’s on budget, and it will come in well less than $3 million. The truck site is excavated and almost ready for liner. The efforts are extremely well synchronized between our teams, operational and construction and the State will be posting pictures of all these activities over the next few weeks. And I have to tell you, it looks tremendous. It looks tremendous. We’ll also deliver and let me reiterate that we’ll deliver 20,000 gold equivalent ounces this year. Really, year-to-date we’ve already shipped 155,000 ounces of Dore that means over 135 ounces of silver. And at the end, honestly it feels to me like the system is just getting its legs underneath it. Not just operationally and mechanically but our team is really consolidated I haven’t seen them more focused. We’re already now operating at a rate in the last three or four weeks, a little over 550 ounces per week. And once the expansion is complete, we look to grow that into 2014. With that we’re guiding towards production next year that will result in higher rate of tons, lower unit cost and doubling the revenue from 40,000 gold equivalent ounces in 2014 that gets us positive cash flow, it gets a sustained cash flow. But it isn’t the cap it’s the planned phase of growth that we’re building this infrastructure to handle. And then we’ll continue to complete the next phase of the growth. Those phases are planned to come from Lucerne first and in particular to the east. But as I mentioned, we’re also preplanning and preparing Dayton for development, mine planning and ultimately productive use of that land as well. We’re also anxious to move from those activities into the final development and completion of what we would call a district-wide plan once those other prior activities have been completed. Those other activities are frankly prerequisite and relevant and inputs to the district-wide plan. So it’s not like the plan is delayed, it’s just a phased series of assessments some which are compartmentalized and some which are macro like the environmental and cultural and biological stage that we had to complete. The district-wide plan will lay out how we can achieve the much larger objective of producing at least 75,000 ounces per annum from each of the mines and also lay the foundation for recommencing of our exploration and resource development activities. It’s important to remember that we only had drilled on a fraction of our land position. Our expectation is that there is still significant resource growth in just the Lucerne and Dayton alone but also in all of our seven targeted areas, not just the first two. Once we stabilize our cash flows, those programs can resume. And lastly, we’re securing and expanding our land position to optimize and support these objectives. So, let me conclude by saying I believe we are positioning ourselves in the best possible way as an asset, as a company and frankly relative to this market. Our capital base is strong. And our high quality shareholder base is knowledgeable, engaged and if you’re watching it, they’re growing their position. Recent visitors to the site have been very vocal about our progress and how good the operations look. Many people overall in the market are calling a bottom on gold equities and regardless from our perspective, we are clearly at historic lows in terms of equity valuations. But I think something even more profound is developing. The growing company is that we believe we’ll win have to produce at low cost which we’re positioning ourselves to be right now. And we believe Nevada is the place to be for some of the all-in-lowest cost operations in our industry. We couldn’t feel like there was a better jurisdiction to be. The major and also substantial portion of their previously planned pipeline, substantially all of which are outside of the U.S., the numbers are just staggering. Barrick just today announced it was delaying construction on Pascua Lama on the Argentine-Chile border after writing off $5 billion plus in their last quarter. But from my perspective on a much more positive note, Barrick, Newmont and all of the other majors and their CEOs are focusing on lowering costs of operations and stabilizing their profitability. They are now focusing on their existing projects, especially in North America and in no doubt primarily in Nevada. In addition, but in addition to that they are just fewer and fewer quality, juniors developing quality projects like ours. And even fewer that control an entire well-understood geologic district like ours with such high-grade potential like the Chute Zone in Lucerne. If these juniors in my opinion and they’re so few of them that have focused management, strong balance sheet, exponential growth potential, sustainable cash flows and access to grow capital, that are differentiating themselves to these investors. And I think those are the companies that are rewarded communities with responsible mining and rewarded their investors with superior returns. We couldn’t feel better positioned for that type of sustainable growth in these markets. Once the major destroy their health and profitability, we believe valuations will return and the majors will not only support but promote that because they’re not replenishing their pipelines. We’re also seeing in fact they’re doing the opposite in a dramatic way. We’re also seeing an increased interest from the market for more of the mainstream value focus institutional funds. They’re going deeper in their diligence on the company to invest in. But they’re convinced that there is deep-deep value here amongst this pool. So they’re not investing in the index, they’re investing in select quality juniors and it’s now starting to happen more and more pervasively. The interest from them in these markets is increasing. From us, I know it doesn’t feel like that from where the stock price is. We have as much empathy on that as anybody. But when you have a down sector, yearend – in this time of the year can be pretty tough, especially with the uncertainty that comes from the U.S. Federal Reserve, from distraction that investors can have during the holidays, from tax lock selling, etcetera, etcetera. I mean, we end up with sort of a net-down scenario. But if you look at the base that we have, the strength of the capital base, the stability of the capital base, it’s not shrinking it’s growing. And there is no question. So, in the meantime, we’ve increased our IR activities. I mean, just in the last couple of months despite all of the activities that we’ve had underground, we’ve been approached for and completed six interviews with mining magazines, local media and industry analysts. There are three more that are on tapping in just the next two weeks. We’ve hosted 8 site tours including major institutional investors, analysts and industry newsletter writers. We’ve met with seven, individual brokers last investor meeting, those would be one-on-one meetings that I’ve had in Colorado, in Texas and New York. We’ve also met with additional group investors with firms, offices in New York, New Jersey. I think just in the last 10 days, we’ve addressed over 100 investors and brokers. I also attended a mining conference in New York, there were about 100 attendees. And it wasn’t just meeting investors at the conference but also being called out to the conference to meet with investors in the city. We’ve had three broker calls and of course during the quarter we intended the Bell-Ring Ceremony at the New York Stock Exchange. And I have to say that the marketing that came from that and the interest that we received from that was very high. So, we have a robust IR schedule for November. We’ve got five more cities that we’re visiting including Seattle and San Francisco. There is a Mining Conference in Seattle or the Hard Asset Conference or the Mineral Conference, they keep changing their name. But it’s on November 25, and 26. So, really in summary, I think the next 12 to 15 months from here, both because of where the market is positioned and because of where we are positioned is very, very interesting. I really, really like where we are relative to where we’re going to be in the next 12 to 15 months. And I think that’s probably the right point Yana, to turn it back over to questions.
Operator: Thank you very much. (Operator Instructions). And the first question comes from John Listarg (ph). He is a private investor. Please go ahead, sir.
John Listarg – Private Investor: Hi, my question for you is, the gold and silver you’re producing. Who are you shipping it to? And as an independent investor, how can I buy physical gold and silver from you? I have other investors too they’re interested in buying physical gold and silver. And I was wondering how we can buy from you. Have you ever thought about selling the gold and silver direct on the website? Thanks.
Corrado De Gasperis: Two great questions. So, the first answer is that there are two or three primary refiners in the United States ranging from Johnson & Matthey in Salt Lake City all the way to Metal Ore in Massachusetts. They’re highly, highly competitive in terms of even despite the distance – the difference in distances from us. So, we have accounts at Johnson & Matthey and at Metal Ore. And what they do is they refine our Dore which is amalgamated gold and silver, about 90% silver, 10% gold in terms of the ratio. And then they send us cash back from the sale of that bullion. So that’s how we do that. It’s a very, very stable, fast process in terms of transfer title when bullion leaves our site. And receipt of cash which is typically within 48 hours of the shipment. In terms of selling metal directly, the answer is yes, yes and yes. We have only to-date sold 1 trillion ounce Dore commemorative bars. They were sold out in like four days. But we are just now recalibrating ourselves for direct sales. And frankly, we have and I think you just reiterated and I thank you for it. We have a high level of interest in people buying not just Comstock silver and gold but also varying products that are made of silver and gold. So, we’re in private caller Comstock development mode to be able to do that that we’ve stabilized operations, and frankly now that we have some internal human capacity to do that. And so, more to come on that, hopefully we can make it clear how we will establish the mechanisms to do that over the next two to three months but it’s certainly something we’re going to do in 2014.
Operator: Thank you. The next question comes from James Dale. He’s an independent investor. Please go ahead, sir.
James Dale – Private Investor: Thanks. Good morning, Corrado.
Corrado De Gasperis: Hi.
James Dale – Private Investor: Question for you. In your press release you talked about conducting people underground billions of targets exploration to mine. Can you elaborate on those plans and also to discuss how your Chute Zone could possible lead you to one of those targets?
Corrado De Gasperis: Yes, thank you. From just a general expansion perspective, Lucerne is certainly the answer. And substantially that means we are conducting our plans to evaluate and expand the Lucerne mine. Obviously, most of the ore is east of where we’re currently mining. And in the east side of the Lucerne area is the Chute Zone. I would say that as we see in today, despite having dozens and dozens if not hundreds of course of high grade hits that are still to be chased and developed. The Chute Zone is the first material validated concentration of high grade ore that we would consider going underground to mine. We’ve already depicted a conceptual engineer design of dropping exploration risks down into it, which we can do readily. And then from an exploration profile, we would evaluate four to five in engineer going underground. That would require permitting and another phase of our development that certainly is not included in any of the guidance that we’ve given in 2014. But I would say that the mine planning that we’re doing for those eastern ore bodies will maybe not primarily or initially but will absolutely include going underground towards the Chute Zone. I think that not only will that be economically feasible and incredibly productive to our growth objectives. But I think that what we learn going down that way to those depths in Lucerne ultimately will be staggering in terms of research expansion. Because the Chute Zone, as exciting as it is to look at three dimensionally, it’s even more exciting to appreciate that we just barely touched and validated what we did. As we get down in there, either through drilled holes or through adrift, we’re going to learn a lot more and its wide open.
James Dale – Private Investor: Okay. A follow-up question, I understand that you have access to the Sutro Tunnel, is the approach to those ore bodies feasible from the Sutro Tunnel?
Corrado De Gasperis: There is a lot of feasibility from the Sutro Tunnel Company. We have control over the leases of that company and those properties. There are a significant number of high-grade targets that we have. We have not – we have been developing those properties annually. But they are just outside of our central Lucerne Zone. So, we haven’t had accelerated a development. But from the targets, be it the Yellow Jacket around the northern territory or even the land, let’s say leased or owned by the Sutro Tunnel and 2,000 feet on either side of it represent meaningful target. So, we would certainly put those in the intermediate to longer term objectives. But they’re at the highest end of our sort of geological rankings if you will.
James Dale – Private Investor: Okay. Thanks a lot. Keep going on the good work.
Corrado De Gasperis: Thank you, sir. Yana, can you check the question queue.
Operator: Yes sir, we have a lot of questions. And Mr. Pete Telford, you can go ahead with your question.
Pete Telford – Private Investor: Hi Corrado, it’s Pete. Sure, I’ve enjoyed watching you build this company it’s exciting to see all those stuff going on. The question I got is, in these permits that we’ve gotten. You mentioned that it includes some work in the Dayton area. Have you got into a thinking about the – how you’re going to process that material you see. You were going to just do leaching and that on haul to the plant for process. How kind of would that take place if you’ve done any research on it? The other one is, we mentioned at one time the possibility in one of our Shareholders Meetings, possibly refining our own Dore. Has that been considered anymore or is it more cost effective to have the outside company do this? Thank you, Corrado.
Corrado De Gasperis: Thank you, Peter. That was Pete Telford. All right, so first on the Dayton, there is two sides to the answer to the question. One is, there is a lot that we know about the Dayton, there is also a lot that we don’t know about the Dayton, so let me answer it in those two contexts. What we do know is what the rock types are. What we do know is a bit about the metallurgy of those rock types because they’re very similar to Lucerne. And what we do know is there is near surface and deeper underground ore that we’ve hit in our drilling. So that resource is – it’s not insignificant at all, it’s meaningful in one regard. But in other regard it’s still very nascent. So, what we’re going through right now, which has been productive I believe is discussions in the county around activities that we would consider prerequisite to the next phases of investment. And it’s been very productive, I mean, we just got approval from Lyon County and our reversion to acreage which cleans up some of loss sizes. The substantial majority of that whole area is zoned as you would expect for resource and mining. There is a portion to the north where we’d like to modify the zoning to have more multiple uses. We have – we have a little bit of work to do there but it’s progressing. Most importantly we’d like to do one more round of drilling. We’d like to spend about $4 million and that believe would give us efficiency for what’s really important which is developing a mine plan that can start to give you a visual of what it could potentially look like. So, we don’t have that yet and we need to develop that. In terms of the resources there, now back to your initial question. The rock types are similar the metallurgy is actually tested out better than Lucerne. And there is more geometric concentration. And so we think ultimately the mining at Dayton would be less cumbersome than the mining at Lucerne because of those various characteristics. In that regard, we have – we’re highly hopeful to progress those things faster rather than slower. So that’s the first part of your question. The second part which is refining, and I – we have a couple of updates in that regard, we’ve now visited and met and toward every major refinery including Salt Lake, including Massachusetts Metal Ore and also in Miami. And we have identified capacity that could not only produce high quality bullion silver and gold which they all pretty well can do but could dedicate some to us so that we can maintain chain of title and confirm that the metal is coming from the Comstock load at the highest of purities. And mind in the more socially responsible ways. We believe these are the three critical prerequisites to the value of our brand. It’s the best silver and it’s mined in the best way. So that’s important. Having said that, our assessment of local refining continues to yield positive, meaning, the capital costs are very low, meaning the counting and communities are very positive about it. And frankly, we think it would not only facilitate our own refining, we believe we could position ourselves in Nevada, it could be refining for others. But we’re not thinking large scale, we’re thinking initial scale that could – initial size that could more than accommodate us but scale up intelligently. So I know that’s a little conceptual but in fairness, even though we’re doing very specific market diligence, the plans are still at the feasible stage, conceptual feasibility stage. But the results are saying yes, it’s feasible and in some cases, very, very beneficial. So that’s where we are at this point. I’m happy to give you updates as we progress further.
Pete Telford – Private Investor: Thank you, Corrado. Keep up the great work.
Operator: Thank you. The next question comes from Bill Gibson from Legend Merchants. Please go ahead sir.
Bill Gibson – Legend Merchants: Good morning, Corrado.
Corrado De Gasperis: Hi Bill.
Bill Gibson – Legend Merchants: Could you, yes, could you share the timing of the next couple of 43-101 reports?
Corrado De Gasperis: Yes, so – the 43-101 will be updated when there is material change. And although we haven’t been drilling extensively, we have been mining and we’ve learned a bit and it’s positive. And we also have been expanding our permitting footprint. And so, there is really three dates that ultimately will be meaningful to people. One is, reconciliation to production and where we are. Two, is expansion of the permitting footprint which in my opinion would be the point where we start to move resources into reserve, obviously that would be material. And then third, the expansion both in Lucerne to the East and to the Dayton with additional drilling, in that regard we don’t have drilling scheduled for the first six months of next year. Although we could do some drilling before June it’s not currently in the plans. So, I would say all that summarizing, there is probably going to be something meaningful to say mid-next year, especially if we stay on our plans for district-wide planning because it means expanding the permitted footprint and moving into reserve. And then there would be something subsequent to a drill program which I think in design would be about four to five months. If we hit on our cylinders and this is not a commitment, you could get an update mid-next year and you could get an update at the end of next year. But if we didn’t commence drilling, the second update wouldn’t occur as timely. It will just depend when we have the updated resource to our development drilling completed.
Bill Gibson – Legend Merchants: Thank you.
Corrado De Gasperis: Thank you, sir.
Operator: Thank you. The next question comes from Carl Frankson. He’s a Private Investor. Please go ahead sir.
Carl Frankson – Private Investor: Hi Corrado, how are you doing?
Corrado De Gasperis: Good.
Carl Frankson – Private Investor: A couple of the previous questions touched my major question and a lot of it’s already been answered. But as a long-time investor, I know the real – as an investor the excitement towards the 43-101 reports, the drilling you did 50 that were feasible holes and there were intercepts between 30 feet to 50 feet of so much mineralization. And that was really kind of the excitement for the start. And I think everybody on the call is interested in probably one thing and that’s a higher stock price. And the macro we can’t control, if gold goes to 2,000 the price of Comstock will go up nicely for everybody. Failing that, is there anything that could kind of jumpstart the let’s say the exploration in the mining – your plan, you’re doing very well, you’re doing what you’re supposed to in put forth prints, it’s a three-yards in the cloud of dust and you’re performing. Is there anything that we could do for a Hail Mary Pass or a 60 yard down the field pass, there is something that would jumpstart exploration? And I guess without further equity dilution or taking on additional debt, is there any way of just really exploring more? And I guess maybe kind of touching on that have you ever explored talking to one of the streamers, okay, frankly Nevada or Royale or something that make help with the differentiating and we’re on 10% of our land now, we’ve got 90% sitting out there. Is there any way of expanding that?
Corrado De Gasperis: Very good, very good Carl. Thank you for that series of questions. Let me answer this way. So first, there is no misalignment between me, our senior Geological team, our development team, and the board about the desire for major discovery. And nor has our notions of the high probabilities of that diminished in any way shape or form. And I say that only because obviously when you’re focusing on something different than that there could be that assumption that is not correct, we’re with you, we’re with you. Not only are we with you but the work that we’ve been doing in mine planning and the reinforcement of our mine planning that SRK has done with us and our internal team has only increased our excitement about the geology. In a different way, berry go bears resource estimate but in a complimentary way. So we feel strongly that we’ve got some of the best firms in the world, excited about this geology. Certainly as much, but not more than we are, we’re very excited. I think that the company and the valuation will respond very meaningfully, when I say we’re cash positive and sustainable so. And I believe when I say that we’re going to start doing some drilling. It’s almost like two steps. And let me be frank, I mean, the results that we’ve had in the last four to six weeks, we’re just about there. I mean, the money that we’re spending is more so on expanding on the heap react region and making it even better. So, directionally it’s coming together. So, yes, I mean, not only – let me maybe – you made a good clarifying point. Not only is there an amount of sort of real development effort in drilling out the D and we’re drilling out the E side, which will be certain to increase our resource because we just have so much intelligence there. There are also some very high grade, high probability target, be it in New York or be it the Yellow Jacket or be it some others that with relatively less investment, and with some targeted drilling, we can expand the excitement on this footprint, by frankly expanding the footprint. And there is not any area, the north, the Occidental, the OST or the Spring Valley that we’re not excited about. And we’re excited about all of that. So, yes, so let me just say that we share your desire. We do believe cash positive is the pre-requisite. But to the last point, we have had inquiry from some of those – we have inquiry from Samsung saying can we buy all your silver in advance. We know the guys are Franco. And we just recently met not because of our outreach but because of the mutual acquaintance with the leadership at Royale. And they’re great people. Their chairman has a deep, deep passion for the history of the Comstock load. I think he said to me, it wasn’t – no one has ever questioned the geology of the Comstock. What’s just shocking is your ability to permit it and get it back into production. And so, I think there is more than just that avenue as we stabilize our production and we have cash where we want it to be. I think we have many financing alternatives that are efficient and that are evolving as we evolve. So, all good. I hope that answers the question without too much sidetracking. But it’s all good, good cash, good developing and good not just profitable but exciting.
Carl Frankson – Private Investor: Yes, thanks for that. I appreciate it.
Operator: Thank you. The next question comes from Jeb Handwerger from Gold Stock Trades. Please go ahead, sir.
Jeb Handwerger – Gold Stock Trades: Hi Corrado.
Corrado De Gasperis: Hi Jeb, how are you?
Jeb Handwerger – Gold Stock Trades: Good, good thanks. I just wanted to see if you could give any commentary, we know that the key objectives were hit in 2013, in the first quarter of 2014 with reaching the 770 ounces per week. This expanded water control permit and doubling the heap production in the rate of 40,000 ounces per year. Can you give us some of the key objectives, some goals going into 2014 in the next – second quarter or third quarter and fourth quarter?
Corrado De Gasperis: Yeah, I think there is, from a production standpoint first, I think there is three building tiers. One is, to expand the permitting around the Lucerne resource area and that not only compliments sustaining these higher rates of production for many years. It also will position us to move a meaningful amount of war into reserve status. Most of our institutional investors have diligence and diligence that themselves with great result, great outcome obviously there are meaningful investors in us. But the broader market at large that don’t have the internal where with all, the diligence, the mine plan etcetera are interested to see reserve status and we’re keen to deliver that. In the meantime, in the meantime I think the more knowledgeable investors are taking advantage of this lower share price and I think that’s smart personally. The second step would be to position the Dayton for both, resource expansion and mine plan completion and especially permitting in Lyon County for mining activity there. The third phase would be a district wide plan that would represent a macro plan over the district that would include but not be limited to permitting our federal properties and the consideration of – and/or expanded heaping capacity to then sustain those higher levels of production. So the local expansions of Lucerne and Dayton are 2014 activities. And in our mind, the completion of the district-wide plan is a 2014 activity. The permitting of the district-wide plan becomes a multi-year growth objective that again compliments everything as we said. So, in other words instead of being a 20,000 to 30,000 ounce producer for three to four years, we would expect to go from 20,000 to 40,000 to 60,000 above from the combination of these mines. And then ultimately the final district-wide permitting opens the whole thing up, in a much more efficient way and in a much more significant way in terms of revenue. So, I’m not sure if that’s what you mean. But I fully intend to lay that out more precisely to the external community, now that those plans are solidifying right in front of us. We know the steps to get from point A to point B to point C and ultimately to point Z that I just described. We’ll lay it out more concisely we’ll help educate people more specifically. And I think it’s natural that we do that at this point in time.
Operator: Thank you.
Corrado De Gasperis: Thank you very much. Thanks Jeb.
Operator: Next question comes from Lawrence Denny, he’s a private investor. Please go ahead sir.
Lawrence Denny – Private Investor: Good morning, Corrado. And I commend you for all the hard work and progress you’ve made.
Corrado De Gasperis: Thanks Larry.
Lawrence Denny – Private Investor: Another gentleman just touched on dilution. And being a CQA and a JD I’m a concerned about that. But you did mention reaching positive cash flow. So hopefully you won’t have to go to the market. And I understand that’s a smart move because you’re saving on interest expense but maybe that is diluting the stock. And so, my questions are couple, two-fold. One, do you think there will come a point, well, three-fold. One, with the positive cash flow are you going to need to go to the market anymore. I know it’s not about the royalty companies and I understand that model of financing? Two, is a reverse split possible down the road? And three, is the share buyback possible down the road?
Corrado De Gasperis: Okay, good questions, Lawrence. Let me start with – first and foremost as I was alluding to a little bit earlier, I think that and I believe that our top investors understand this. And I only say that because of the amount, the disproportional amount of time they spend diligence in us. But I believe that our – we’re building an asset – we’re building a company that’s much, much bigger, much bigger than what 40,000 ounces or 75,000 ounces per annum would even begin to indicate. We drilled on a tiny fraction of our land position. And we have an enormous land position. And our land position frankly is growing so that’s first. Secondly, we’re doing it, in not a socially responsible way. We’re doing it in the most socially responsible way. In some ways, with specific, I can say – we’re setting new precedence in how we’re treating the territory and how we’re treating the environment. And we setup a foundation this year and the state’s former historical preservation officer, I mean, one of the foremost historians in Nevada and in particular on the Comstock agree to be the executive director. It was not only a blessing but incredibly flattering to us. But not surprising with the fact because I don’t – we just care so much about this historic district and its protection. So, the social license, the credibility, the confidence, the reliability that we’re portraying to the communities, meaning the people that live here, meaning the people that governed, commissioned, the politicians, the regulators is very, very strong and different. I know it’s a prerequisite to be permitted but we’re talking about more than that. And so the value that comes from that both in terms of land value, both in terms of precious metal value, and ultimately and being able to market products that even go beyond the bullion, it is great. And our Chairman, has inception of vision around this stuff. And there is strong alignment in creating something very, very valuable. When we think about the money that we had to raise and we think about, what the uses of those money. So the balance sheet, debt is being paid down. Assets and real-estate is being purchased. Resource is being expanded exponentially. New equipment is being installed in the ground. We don’t feel wasteful dilution right. We always, always prefer to self-finance, okay. But we also are trying to capitalize on the opportunities at the time that they best present them and that’s complex. So, I would say that we feel that we’re at the right moment. We feel that the mining operation could be self-funding. We feel that we’re evaluating bigger plans. And if there were growth beyond what we’re talking about or opportunities beyond what we’re talking about we would always consider financing alternative to do it in the way that would be most accretive. So, I don’t feel the need with an existing $5 million capacity for things like working capital and a revolver that we need to go much beyond the structure that exists today. But as opportunities evolve we’ll always have the most open mind to doing it the best way. And I think that if we brought in the view of what’s being created and we brought in the understanding of how some of this capital is being deployed for hard real assets, and/or the development of an exceptional social life of the D here, we tend to feel very good about how we’ve deployed capital. But that doesn’t mean we feel good about having, to raise equity when the share price is at lower level, part of that being the timing of our progression, part of that being the timing of the market. The market is down but I think we’ve held up better than many. And I believe that’s a substance over formed. There is a lot of genes out there that don’t have any substance. And so that’s very healthy for our industry, for those people to get consolidated out. It’s very healthy for industry for the majors to rationalize and flush down the toilet all those billions of bad project that were never real to begin with. And it’s healthy for them to start to feel pressure that their pipelines are getting shorter-to-shorter. And that there is not too many new large Nevada based good grade deposits out there. So, we’re building something that we think is not so common.
Lawrence Denny – Private Investor: Great. Thanks so much.
Corrado De Gasperis: Thanks, Lawrence.
Operator: Thank you. The next question comes from Mike Niehuser from Beacon Rock Research. Please go ahead, sir.
Corrado De Gasperis: Hi Mike, how are you?
Mike Niehuser – Beacon Rock Research: Hi Corrado, very good. Thank you. And one of the things you’ve repeated several times on the call is your enthusiasm for exploration. Having seen the project, I’m convinced that your understanding is improving at a very consistent pace. Can you give some granularity because I haven’t heard it from you, I’ve heard it from Larry about the structures and how you’re starting to understand the somewhat repetitive understanding of potential deposits as you move down strike?
Corrado De Gasperis: Yeah, absolutely. The original strike, the Comstock evolved from underneath Virginia City down to essentially the top of Lucerne that was about two and half miles. And that was the most – that was the most evident mineralization on the Comstock. Obviously that was what the old tender achieved. Because they could see it 33 bonanzas later, they couldn’t see much more. But what we really defined and validated from a geological structural control perspective, with that there are in fact four parallel fault lines that – and Silver City fault was not an independent structure, right it’s a continuance from literally Virginia City all the way down to Highway 50, which is where we have controlled all of those mineralized properties. And then, when you look at the accurate feature, the volcanic dongle structure that Larry has mapped out from surface reconnaissance both to hand held magnetometers all the way up through satellite reconnaissance. And you overlay the former mine workings which we fully digitized. You see something very surprising not only do those mines hug those structures but then the structures just keep going and going. And weren’t visible to others. And then, you then know with strong control geologically we’re the cross faults hits and you get concentrations of high grades. That’s what’s happening in the east side, that’s what’s happening in the New York. And then you – and then you start to understand the periodicity of those some of those cross faults, every 1,000 feet you’re getting concentrations of ore from the Keystone just as cut to the Woodville Bonanza now down to the Chute Zone, right. And then you see how the Dayton connects to the Lucerne and in fact goes right down into the Spring Valley. So, this is news in the last 24 to 30 months. I mean, this is evolution some of the theories that Larry had formulated, which, it wasn’t just through new drilling and new discovery, it was through the study of a lot of compilations of others, from the Becker maps in the 1800s all the way to some of the great word Bob Carrington, did in the 80s and Steve Russell in the 70s, 80s and 90s. I mean, these are to me, giants from a geological perspective on the Comstock. I think it’s the new wave of modern geologists from Steve Russell to Bob Carrington to Larry Martin. And now we’ve got some young folks that are learning it fast and furious underneath these, I don’t want to say elders, Larry will get mad at me. But these guys are really doing something with passion. And we love it. We love anyone that’s visited the site and Larry is personally wanted to tour them, he knows what I’m talking about, you know.
Mike Niehuser – Beacon Rock Research: Well, Larry is particularly proud of Spring Valley which I – a little surprised I don’t hear more about just because it’s so close to the surface. But you’ve got a big land package and it seems to be very prudent about cash flow because the market is really looking for sustainability. But kind of a tough question, I think you’ve answered this before on previous calls. But somebody new to the company or the project would be asking about the highway that runs near Lucerne, the ability to move that. Certainly you’ve had really very good success with straightening the haulage road with lot 51. But can you expand on that – is that a perceived risk for you or is that something that you think is well under hand?
Corrado De Gasperis: Yeah, actually no, we’ve been very open that Lucerne has a number of opportunities to expand be it north or south. We’re moving north right now which is very exciting. The Justice has some very interesting high grade ores that we are anxious to get into in the next upcoming months. The Lucerne base has high grade ores that we’re looking to get into in the next coming months. But ultimately there is no secret that there is a tremendous amount of high-grade ore underneath the state route. It’s a state route, it’s a private road, it’s not a highway but – and we owned the land. But we’re in dialog with the County about the smartest way to access those ores and deal with the road. I’m confident that we’ll have good responsible plans that do it effectively. And it’s very much a common next phase of our planning. So, it’s not a hard question, it’s an important question. And we’re kind of looking forward to it.
Mike Niehuser – Beacon Rock Research: Well, that’s interesting. Good for you. I just have to tell you, you’re really building a fine business, a fine brand. And from the U.S. perspective something those out on the border can be proud of. Thank you.
Corrado De Gasperis: Thank you very much. Thank you very much, Mike.
Operator: Thank you. The next question comes from Stephen Shipman from Century Management. Please go ahead, sir.
Stephen Shipman – Century Management: Good morning, Corrado.
Corrado De Gasperis: Hi Stephen, how are you?
Stephen Shipman – Century Management: I’m doing fine, thank you. Two questions if I could. One is more of a clarification. And that is when you have the list the inventory of gold ounces, I’m looking at the balance sheet. Do I see that under inventory, should I be seeing that under inventories Corrado or under the stock piles and mineralized material?
Corrado De Gasperis: Yes, so it’s in both. I mean, basically because we do not have reserve that is the only ounces that we inventory are ounces that we’re pulling out of the ground. So, effectively we have material that’s been mined not yet put on the Heap Leach pad that would be stock piled. And then we have material that would be in the leach pad which is very well controlled metallurgical that would be work in process. And then we have – it’s not common because we shift pretty frequently in these – we basically have a philosophy of not keeping bullion on site for any real amount of time. But if we did have bullion on site then you would have even finished goods. So the stock piles is, the stock piles effectively would be material in front of the crusher and mineralized material on the heap leach pad. I guess that would be two categories. And then, any other inventory beyond that would either be precipitated in the Merrill-Crowe or literally Dore bars in the vault.
Stephen Shipman – Century Management: Okay, great. I appreciate that. And the second question is, if we fast forward to December of next year of 2014, can you tell us what you think the expected run rate of production is at that time, I had a doubt at about 1,000 or 1,100 but if you can clarify that.
Corrado De Gasperis: Yes, so our, yes, so that’s a good question. I haven’t really given a lot of color on that but there is no reason not to. Our plan, it does evolve and get better. And there is two, there is two aspects to it. One, is as we move into – as we move north, let’s just say it that way. As we move north on the Lucerne mine plan, the grades improve. So a grade improvement and some people joke that there is really – there is only three real variables in terms of profitable mining, grade, grade and grade.
Stephen Shipman – Century Management: Right.
Corrado De Gasperis: I would say grade first, metallurgy second, strip ratio the third. But some people are, it’s all about grade. So that improving grade profile could certainly move us and will and does in our mine plan above an average of 770. So 770 is an average for the year. We’ll ramp up to that both in terms of more tons, in terms of as the rate but also in terms of better grade. When we’re at the higher ton grade, and the higher end of the grade, you have grades of certainly over 1,000 ounces per week. So, and a notion of 50 or 60 in terms of annual run rate is the part of the plan. My caution has only been that then to sustain those higher levels, we’ll need some and have fully planned permit expansions. And those things will occur in 2014, there is no drama in my mind associated with them. But I don’t – I would prefer not to guide past them until we have them.
Stephen Shipman – Century Management: Sure, sure, well, that’s prudent. I appreciate it very much.
Corrado De Gasperis: Thank you, Stephen.
Operator: Thank you. The next question comes from Russell Smitherman from Onsite Computer Support. Please go ahead, sir.
Russell Smitherman – Onsite Computer Support: Hi, good morning Corrado.
Corrado De Gasperis: How are you?
Russell Smitherman – Onsite Computer Support: Good. Thanks for taking the time, taking my question. My first question is where will you process the ore from the Dayton mine when it comes online and how you finance the expansion?
Corrado De Gasperis: Okay, good. Let me answer that one because as you ask it, I think somebody asked it before you and I probably didn’t answer it clearly enough. We really have two choices there. It’s conceptual question because we don’t have a Dayton mine plan. But certainly as we are thinking about the district plan, those are exactly the questions that we’re thinking of. And so, let me answer it first by saying, it’s certainly conceivable. And I would say even practical. That initially the material could be processed at the existing American planned facility, okay. There is a bunch of questions that will pop on everybody’s mind about that. But in terms of just physical capacity and the type of it – it would work excellently. The expansion, physical expansion, we’re talking about a scenario where we’re running at let’s say greater than 4 million tons per annum where we’ll start to require some components with the system to be expanded. And I guess frankly the simplest way to think about that – or the simplest example to use both because it’s on the higher end of the discussion and because it’s one item. And I appreciate there is probably a dozen variations in between would be as if we go mill. So if we built a mill, you’d have a mill and a heap leach pad. From my conceptual perspective, that’s ideal because we’re getting into higher and higher grade ores. And a mill is the word mill and throughput are almost anonymous, right. You get, you’re at the highest percentage of that yield, very, very fast. In our case we wouldn’t be talking about a big mass of capital as estimate because the size now that we’d be contemplating would be moderate relative to the industry and would be outstanding for us. But you’re talking about tens of millions of dollars not hundreds of millions and certainly not billions, okay. So, tens of millions of dollars, there should be a scenario with positive cash flow where equipment financing is more than feasible. Working capital lines or expanded working capital lines, say $10 million versus $5 million it’s more than feasible. So, I think that if there is a real exciting growth opportunity and it’s bigger than our capacity, then you always have to assess what’s the smartest way to do that is. We typically called down on having a stronger balance sheet, but you don’t know. Strength is all relative to cash flow. So yes, that’s the kind of thing we want to get to expeditiously. And we’re marching, and we’re marching.
Russell Smitherman – Onsite Computer Support: I have one more quick-question. You are improving your cash flow all the time and of course it’s picked my interest about cash flow in 2014. What – as what quarter do you anticipate that Comstock showing a profit?
Corrado De Gasperis: If we do the expansion in the next three weeks, the way that we intend to, and we ramp up the way we that we intend to, we should be cash positive in the first quarter. And I can’t wait to say it. That’s right, it’s right around the corner.
Russell Smitherman – Onsite Computer Support: That’s excellent news. I appreciate your time. And you’re doing a great job. And we’re very excited.
Corrado De Gasperis: Thank you, sir. Have a great day.
Russell Smitherman – Onsite Computer Support: Thank you.
Operator: Thank you very much. And the last question we have in the queue is from Richard Desjardins. He’s a private investor. Please go ahead.
Corrado De Gasperis: Hi Richard.
Richard Desjardins – Private Investor: Good morning and thank you for the good management today and seeing Corrado. Question is on permits for both the expansion to the east on the Lucerne including the Chute Zone and down into Dayton. Have you applied for those permits that you will need or what’s your timing on doing that and what permits are really required that gets that going? And when do you think you’re going to get the answers back on them?
Corrado De Gasperis: Okay. So, the primary permit because – almost the entirety of the Chute Zone, is sort of I’m sorry – I didn’t mean to say Chute Zone, almost the entirety of the Lucerne area as the State permit on reclamation and bonding over it, okay. Then everything else we have the air, water, mercury are specific to our equipment and operations so those are all in place. So, what we would have I think is two primary things. One, would be expanding the boundary of the special use permit in the County and the County appropriately is going to pay as they always have very well to what our mine plans are and what are reclamation plans are. So the County is outstanding in my opinion and making sure that they know what we’re going to do before we do it. And then we’ll permit it accordingly. The County processes are not measured in years or half years, they’re measured in months. So, I think we need still about a month or to pull those plans together and then we’ll start having dialog with the County. And then, I would say in the first quarter, those things would be scheduled for at the County level. Once that’s done we would simply go to the state and expand the reclamation bonding and that’s associated with it. And although there might be one or two minor modifications that would have to go along with that – I think for most intents and purposes, and consistent with our other parameters, like we’ve long committed to the entire district that we wouldn’t disturb material unless the Nevada division of environmental protection cleared it from the potential existence of mercury. So, all those things are what we’ve done so far that we would continue to do. So that would be for Lucerne. If you want to then take it underground and to the Chute, there is really two phases. One, it would be to go in with an exploration permit down underground. That permitting timeframe is short, couple of months. And you’re limited to what you can do from mining perspective, you can do almost nothing from a mining perspective. I think if you have an exploration permit to go down there, you have some limited amount of material that you could put on you heap leach pad but for most intents and purposes, you’re going down to figure out what’s there. You then would shift that to an underground mining permit once we validated what we needed to validate. And that’s a longer – that’s a longer term. I think that there is more prerequisites associated with affecting underground mining. And I say that in a very careful way. In other words, we can go underground reasonably quick, we can learn a lot and find a lot. And to some of the earlier questions about sizzle from exploration, the hottest sizzle might be dropping an exploration down into the Chute Zone because we’ll learn so tremendous much. But then I think you’re talking about – I don’t know the exact number that’s why I’m hesitating. But it would be at least a year before you would have the underground permitting required to keep mining it. But that should be thought of as a positive evolution not a delay because you have a lot to figure out as you’re going down with the exploration drift. Did that come across clear?
Richard Desjardins – Private Investor: That’s pretty clear for Lucerne. How about for Dayton and Lyon County, what are they?
Corrado De Gasperis: Dayton, well, you see if we leverage the existing infrastructure to process, I mean primarily what you’ll be talking about and I would think especially is permitting. And that’s consistent with what we said about Lyon County, there is a multiple month process. I think the more important prerequisite is for us to get the drilling done and the development done that will then allow us to get the mine plan done because for sure when we go to Lyon County with a request for any special use of that land it will be completely thought out from beginning to end. And so, we, if you wanted to just put cycle times on it, we have four to six months of drilling another month or two of engineering and development, none of which we’ve done yet. And then from that point there, you’d probably have three to four months of permitting. So, beginning to end it could be a year.
Richard Desjardins – Private Investor: Okay, all right. That’s kind of what I was looking for. And thanks again for all the good work you’ve done.
Corrado De Gasperis: Thank you, sir.
Operator: Thank you. And there is an additional question from Jerry William, he’s a Private Investor. Please go ahead.
Jerry William – Private Investor: Hi Corrado, thanks again for a great update and encouraging news. Just one question, you spoke about the relationship between the juniors and the seniors and the thought that the seniors are looking at much – resource has been much expensive. Is it a thought, there is a possibility that a major would acquire a junior. And if so, would that be something that Comstock load would look to be receptive to or would we prefer to remain independent to maximize shareholder value in the long-term?
Corrado De Gasperis: Yeah. So, I think the last part is right. We want to maximize the value of this company. We believe we have a very particular insight and capability to do that independently. But to your earlier question, I mean, the entire mantra of this industry, unlike oil and gas, we’re the major lead in exploration and development. And this industry is a junior still. At the junior grade, and it was in the 90s that you would have five to six new 3 million-ounce discovery per year. And they’re coming all from juniors, okay. And then in the last 10 years, stunningly you had – you’ve averaged less than one new 3 million-ounce discovery per year. I think more – even more shocking, only a third of those discoveries are getting in the production. And then if you take all of that 20-year history and see that the major to acquire substantially all of those projects, have written so many of them all in the last 12 months. So where does it leave them? It leaves them at record high production rate and record low pipeline. So, you have a very interesting dynamic evolving in this industry. And then, there is another layer, and none of these comments are absolute but they’re directionally correct. You have another layer which is – when you go to the four corners of the year, and the result is massive write-downs. And in some cases, it’s not writing-off a $5 billion loss, in some case you’ve got an inker with liability that’s like suck disc (ph), right, sucking your life-blood because these liabilities can’t be shut down, right. So that’s a screw-up. That’s why they all lost their jobs. That’s why I encourage that you have new CEOs who are refocusing on what they know. So, I’m very complementary of what I’ve seen from the industry in the last 12 months because basically you have a whole new leadership team that every company, Barrick, Newmont, all of them, I mean all of them. So, what does that mean, they’re getting their house in order, they’re getting their cost down, they’re getting their cash flows up. They’re making hard decisions on bad projects like stop because it’s killing us. And then what did they do? What did they do? I think they have to refocus and see how do we sustain our business and where do we want to do that. And I think 9 out of 10 times, you’re going to hear its North America because that’s where it’s safe and that’s where there is rule of law and that’s where there is significant infrastructural competency supporting what we’re trying to do. And everyone wants to talk about oil and sustainable cost. So, I can tell you, if you compare oil and unsustainable cost of a drilling miner who has roads an infrastructure and county power and county water and their own wells and their own back-up generation and live by communities with homes, right. There is a different capital cost that has higher grades, that are near surface that are oxide ores has a different capital cost than a deep underground hard-rock miner in the middle of a tundra where they have to build a power plant, build an airport, build roads, mine only seven months of the year if they’re lucky than what we are. So, and when people say how do you – how are you going to deliver a lower cost when you’re relatively smaller, right. That’s why.
Richard Desjardins – Private Investor: Great. We look forward to more positive news in the future.
Corrado De Gasperis: Thank you, sir.
Operator: Thank you. Mr. De Gasperis, there are no further questions at this time. You can continue, sir.
Corrado De Gasperis: Thank you. I just – I’m delighted by the – I’m really delighted thank you by the amount of questions. They’re all relevant and I think that just adds to the communication. We’re looking forward to being in San Francisco the last week of November. I’m looking forward to being on the road here more in November as well as engaged in the communities for the work that we’re doing. And we look forward to more positive updates and communications going forward. Thank you everyone.
Operator: Thank you. Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.